Operator: Good morning. My name is Laurie, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Pangaea Logistics Solutions Second Quarter 2018 Earnings Teleconference. Our host for today’s call are Mr. Ed Coll, Chairman and Chief Executive Officer; and Mr. Gianni DelSignore, Chief Financial Officer. Today’s call is being recorded and will be available for replay beginning at 11:00 o’clock Eastern Time. The recording can be accessed by dialing 800-585-8367 domestic, or 404-537-3406, international and referencing ID number 6644809. All lines are currently muted, and after the prepared remarks, there will be a live question-and-answer session. [Operator Instructions] It is now my pleasure to turn the floor over to Ms. Kathleen Bentley with Prosek Partners.
Kathleen Bentley: Thank you Laurie, and thank you for joining us for this morning’s second quarter 2018 earnings conference call for Pangaea Logistics Solutions. With us today from the company are Chairman and CEO, Mr. Ed Coll; and Chief Financial Officer, Mr. Gianni DelSignore. Before I turn the call over to Ed, I’d like to read the safe harbor statement. This conference could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Pangaea Logistics Solutions. Forward-looking statements are statements that are not based on historical fact. Such forward-looking statements are based upon the current beliefs and expectations of Pangaea Logistics Solutions’ management and are subject to risk and uncertainties, which could cause the actual results to differ from the forward-looking statements. Such risks are more fully discussed in Pangaea Logistics Solutions’ filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Pangaea Logistics Solutions does not assume any obligation to update the information contained in this conference call. Also, please recall that a supplemental slide presentation will accompany this call. Those slides can be found in the – attached to the 8-K that was filed with last evening’s release, which is available on the Investors section of www.pangaeals.com under company filings or on the SEC’s website at sec.gov. Now I would like to turn the call over to Pangaea Logistics Solutions’ Chairman and CEO, Mr. Ed Coll. Ed?
Ed Coll: Thanks, Kathleen, and good morning to all of you and thank you for joining us on the call. This morning I’ll provide an update on our operations and the overall market before turning the call over to Gianni, our CFO, to provide a more detailed overview of the second quarter financials. We’ll then open the line for questions. We hope that you had time to review our press release and accompanying presentation, which were issued last evening. As you’ve heard us reiterate before, the seaborne drybulk industry is cyclical and can be very volatile. However, despite the volatility, we have seen continued steady improvements across the entire industry, with demand continuing to outpace fleet growth and ordering at a manageable level. Over the past three months, the Baltic Dry Index, the BDI is a measure of the drybulk performance. Average increased from 11.46% – to 11.46% from 9.47% in the second quarter of 2017. I’ll now summarize our Q2 results. In line with the industry’s improving performance, we had a strong quarter with significant improvements in our financials. At the close of the first quarter, we spoke to you about two long-term COAs that we closed during 2017 and the subsequent redeployment of ships. While Q1 was a transitionary quarter following the closing, we began to see impact of these redeployments during the second quarter. The completion of those contracts led to fewer total shipping days but were met with higher second quarter TCE rates resulting in net revenue $18.1 million, a 71% increase year-over-year. This, when combined with an improving market, produced attractive arbitrage opportunities that led to adjusted EBITDA of $13.7 million, our strongest since the third quarter of 2017. Net income was $5.8 million or $0.14 a share compared to a net loss of $4.7 million or a negative $0.13 per share during the second quarter of 2017. Total revenue increased 6% from $91.4 million in the second quarter of 2017 to $96.8 million for the period ended June 30, 2018. Conversely, the total number of shipping days decreased by 8% to $4,283, but again, offset by higher TCE rates. Gianni will provide more detail on our financials shortly. As we alluded to in yesterday’s press release, we’re in a expansion mode complementing our strategic focus on backhaul cargos, ice class trades and customized logistics solutions for our clients. The pace of our shipping operations meaningfully improved during the quarter leading to elevated activity across all market segments and an average fleet employment of 47 ships. During the quarter we executed the sale and charter back of the motor vessel Bulk Trident generating approximately $10 million in free cash. We expect again to deploy this strategy later this year following delivery of a 2006-built Panamax we took delivery of on August 1, which after sale charterback cash equivalent to purchase price of $14 million. As we look towards the third quarter of 2018, we’re excited about start of a new ice season and the positive returns we expect this period to bring. With the ice season kicking off in particular, we’re looking forward to continued partnership we share with the Baffinland Iron Mines which has proven to be an integral part of the Baffinland operation and an anchor to our ice business over the summer months. It is relationships like these coupled with continued industry successes that are supporting the growth of our businesses and allowing us to look to the future with hopeful optimism. We look forward to growing with the market and contributing to its victories over the coming quarters. With that, I’d now like to turn the call over to Gianni to provide additional details on the financials.
Gianni DelSignore: Thank you Ed, and thank you all for joining us on today’s call. As Ed noted, we had a strong quarter and continued to opportunistically identify ways to strengthen our balance sheet and improve our profitability. The nontraditional financing methods used to refinance our loans and improve our capital structure this quarter are good examples. Our transaction with the Bulk Trident, as Ed mentioned, in taking delivery of the Bulk PODS and subsequent sale lease back in August provide another source of capital for us. We are also encouraged by our performance during the quarter across several metrics. First, we nearly doubled our adjusted EBITDA at $13.7 million versus $7.4 million for Q2 of 2017. We also reported increases in net revenue from $10.6 million to $18.1 million and net income of $5.8 million from a net loss of $4.7 million in Q2 of 2017. Further, we generated $0.54 in adjusted earnings per share over the last four quarters. To further detail our progress, I’ll now turn to our financials for the second quarter of 2018, which begin on Slide 8 of the presentation. Voyage revenues which are revenues generated from carrying cargo for our clients and represent 85% of our total revenue was $81.1 million for the quarter compared to $80.2 million for the same period of 2017. Charter revenue, which are opportunistic and tied to market rates increased to $15 million from $11.2 million or a 34% increase compared to the second quarter of 2017. This was due to continued improvement in drybulk market rates. Voyages expenses decreased from the second quarter of 2017 by 1% to $38 million. This was driven by the overall decrease in voyage days which was offset by an increase in the average cost of bunkers quarter-to-quarter. The bunker cost per day increased 19% from the three months ended June 30, 2018, to the three months ended June 30, 2017. Charter hire expenses decreased by 7% to $30.7 million compared to $33.2 million for the same period in 2017. And vessel operating expenses increased by approximately 11% to $10 million from $9.1 million over the same time frame. The increase in vessel operating expenses is due to the expansion of our own fleet resulting in a 10% increase in owned and variable charter days, which was 1,820 for the second quarter. Turning to Slide 10, you will see the total number of shipping days decreased by 8% to 4,283 to the three months ended June 30, 2018, compared to 4,661 for the same period in 2017. Although there was a decrease from the comparable quarter, we are encouraged by the increase in number of shipping days from Q1 of 2018 to Q2 of 2018 as total shipping days increased by 21%. As Ed noted, we completed two long-term COAs in Q4 of 2017 and while the first quarter of 2018 was a transitionary quarter, we began to see the impact of redeployments during the second quarter. Turning now to Slide 11, you will see the average TCE rate for the three months ended June 30, 2018, increased by 21% year-over-year to $13,728. This compares to a market average TCE rate of approximately $10,777 meaning Pangaea’s TCE rates are outperforming the average Panamax and Supramax index rates by 27%. Moving on to the balance sheet and cash flows which you will find on Slide 9, unrestricted cash and cash equivalents were $48.9 million as of June 30, 2018, compared to $34.5 million on December 31, 2017. For the three months ended June 30, 2018, the company’s net cash provided by operating activities was $20.8 million compared to $8.3 million for the second quarter of 2017. Net cash used in investing activities was $2.8 million during the second quarter 2018 and $47.7 million during the second quarter of 2017. And finally net cash used in financing activities totaled $4.1 million compared to $44.3 million provided by financing activities during the same period in 2017. I will now turn the call back over to Ed for any additional remarks before we get to the Q&A portion of the call. Ed?
Ed Coll: Thank you, Gianni. As you can see from our results and hear from the optimism in our tone we’re pleased with the market’s recovery over the past quarters and our ability to capitalize on that upward trajectory. We look forward to providing you with updates of our business continued progress over the coming quarters and will now open the floor for questions.
Operator: Q - A -
Ed Coll: Well, thank you all for taking the time to join us this morning and have a good day.
Operator: Thank you for participating in today’s conference call. You may now disconnect.